Operator: Good day, and welcome to -- welcome, everyone, to FEMSA's First Quarter 2015 Earnings Conference Call. [Operator Instructions] During this conference, management may discuss certain forward-looking statements concerning FEMSA's future performance and should be considered as good-faith estimates made by the company. These forward-looking statements reflect management's expectations and are based upon currently available data. Actual results are subject to future events and uncertainties, which may materially impact the company's actual performance. At this time, I will now turn the conference over to Daniel Rodriguez, FEMSA's CFO. Please go ahead, sir.
Juan Fonseca: Hi, everyone. This is Juan Fonseca speaking. Welcome to FEMSA's First Quarter '15 Results Conference Call. As you probably remember, Daniel Rodriguez assumed his role as CFO of FEMSA earlier this month, so we're happy to welcome him. And I know that many of you know Daniel well and have been waiting for an opportunity to chat with him about FEMSA and about his views on the company. So that process, obviously, starts today. And on that note, let me turn the call over to Daniel.
Daniel Alberto Rodríguez Cofré: Okay. Thank you, Juan, and hello, everyone. I'm glad to be with you today, both in this call for the first time but also reconnecting with many of you. In addition to Juan, we also have Roland Karig on the call. As usual, we will focus the call on the consolidated figures for FEMSA and on FEMSA Comercio's results, since many of you probably had the opportunity to participate in Coca-Cola FEMSA's conference call yesterday. As you have also likely seen our detailed results, we will use this opportunity to share some of what we see as highlights and main trends in our business. First, let me make some comments on the context and the consumer environment at the start of the year. In Mexico, we remain cautiously optimistic as we continue to see some signs of improvement in consumer sentiment, as evidenced by modest growth in many of our product categories at OXXO. Certainly, rainfall was a factor in the quarter, particularly during the month of March when precipitation was 5x higher than last year across Mexico, and that affected most beverage categories negatively. But all in all, things seem to be slowly moving in the right direction in this key market. On the plus side, several macroeconomic variables that are relevant to consumption in Mexico, including manufacturing activity, employment levels and remittances, continue to be supportive and we have the benefit of undemanding comparisons as we lap the early impacts of 2014 tax package. On the minus side, we are well aware that public spending will be reduced in response to a new structural reality for oil prices and that GDP gross expectation has been reduced in the short and medium terms. But we believe the balance is positive in this key market. In Mexico, in Brazil, consumer sentiment and the macro backdrop are still soft, and we are facing an adverse foreign exchange environment across several of Coca-Cola FEMSA's markets that, in turn, puts pressure on margins. Staying for a moment on the subject of foreign exchange. As you know, Coca-Cola FEMSA has decided to adopt the SIMADI exchange rate to translate the results of its operation in Venezuela. This rate was VEF 193 per dollar for the first quarter of this year compared to the SICAD rate of VEF 9.7 per dollar using the comparable periods of last year. While this goes a long way in eliminating the uncertainty surrounding the contribution and valuation of the Venezuelan operations, both at Coca-Cola FEMSA and FEMSA levels, the impact on the numbers is significant. However, we believe the move was well anticipated by the market. To put this in perspective, as of the first quarter, Venezuela represented approximately 1% of FEMSA's consolidated revenue. Also, before jumping into actual result, it is important to note that FEMSA Comercio's consolidated numbers now include 1 month of the results of 227 OXXO gas service stations whose franchises were acquired during the first quarter, in addition to 5 stations that were added later in the period, for a total unit count of 232 OXXO gas stations as of the end of March. As we have stated before, this is a business with modest margins but high returns and attractive growth potential. Given the relevance of the gasoline service business, particularly on the revenues line and the fact that it has certain important differences versus the traditional retail business such as higher cost of sales, lower selling expenses and lower operating margins, we will also provide a separate income statement for this business going forward. This will allow you to better monitor the performance of both, the underlying retail business as well as the gasoline service station business. And it's consistent with FEMSA's permanent effort to improve disclosure in ways that the market finds useful. Moving on to discuss our consolidated quarterly numbers. Total revenues during the quarter increased 1.5% and income from operation decreased 1.5%. On an organic basis, that is excluding the results of the OXXO gas business, total revenues decreased 1%, and income from operation decreased 1.9%. As we mentioned before, this consolidated numbers reflect a significant impact from Venezuela. For the first quarter, the line labeled participation in Heineken results represents FEMSA's actual 20% participation in Heineken's first quarter net income, which was reported last week. Staying on the subject of net income. We see that it increased 15.1% in the first quarter. As we explained in our press release, this reflects an extraordinary gain realized by Heineken from the sale of their packaging business in Mexico, which more than offset the slight decrease in our income from operations and a modest increase in our net financing expenses. Our effective tax rate was 32.5% for the quarter, well within the expected range. In terms of our cash position, during the first quarter, our consolidated net debt position went from MXN 46.9 billion at the end of December to MXN 48.7 billion at the end of March. This reflects the negative effect of foreign exchange movement impacting Coca-Cola FEMSA's cash balance held in Venezuelan bolivars as well as portion of the fixed debt denominated in U.S. dollars. Moving on to discuss our operations, and beginning with FEMSA Comercio. We opened 154 net new OXXO stores during the first quarter, slightly above the previous year. Revenues increased 18.9%. Excluding OXXO Gas, revenue increased 12.5%. OXXO same-store sales were up 4.3%, with most of the contribution coming from the average ticket. However, it is encouraging to see that profit was slightly positive during the quarter, as the negative impact from the fall in telephony continues to be diluted and increasingly offset by the growth in the service category. For the quarter, gross margin contracted 90 basis points, largely driven by the inclusion of 1 month of OXXO Gas into FEMSA Comercio's numbers. Excluding OXXO Gas, gross margin would have expanded by 80 basis points, reflecting healthy mix and commercial income trends and the underlying retail operation. We mentioned during the fourth quarter 2014 conference call that we believe the drivers that pressured FEMSA Comercio's margins during that period were not structural, and the current results would seem to be consistent with that view. In terms of operating margin, this quarter, FEMSA Comercio posted an expansion of 30 basis points. Excluding OXXO Gas, operating margin would have expanded by 40 basis points, reflecting better operating leverage at OXXO as well as a solid expense control and lower electricity targets. While these are strong profitability numbers, we should keep in mind that this quarter's results only included 1 month of OXXO Gas and, therefore, the impact of its lower margin on the consolidated figures was modest. Moving on briefly to Coca-Cola FEMSA. Total revenues decreased 11.2%, but on the currency-neutral basis, and excluding Venezuela, they grew 5.5% during the first quarter. While volumes were impacted by the wet weather in Mexico and soft consumer demand and tough comparisons in Brazil, Coca-Cola FEMSA achieved market share and profitability gains in most of its markets. A favorable raw material environment and strict expense control more than offset pressures from generally weaker exchange rates, resulting in a solid set of numbers once we isolate the impact from Venezuela. If you were unable to participate in Coke FEMSA's conference call yesterday, you can access a replay of their webcast for additional details on their results. Looking forward, we are excited by what we see. FEMSA Comercio continues to strengthen its competitive position in a Mexican market that seems to be slowly turning the corner, while it also set the foundations for incremental growth avenues in pharmacies and gasoline stations that have promising prospect ahead of them. And Coca-Cola FEMSA is making great strides as it helps itself by streamlining its operating structure, focusing on driving transaction across geographies and increasing market share as it waits for the consumer environment in some of its key markets to improve. On the strategic front, it is not lost on us that today marks the expiration of the lockup on our Heineken shares. But let me take this opportunity to reiterate our message that we continue to be happy shareholders of Heineken and that even as we work and look for opportunities to deploy our significant balance sheet flexibility, we do not envision a change in our stance towards our investment in Heineken in the short term. And with that, I would like to open the call for questions. Melissa?
Operator: [Operator Instructions] And your first question comes from the line of Antonio Gonzalez with Crédit Suisse.
Antonio Gonzalez - Crédit Suisse AG, Research Division: Juan. Welcome, Daniel, nice talking to you now on FEMSA and wish you a lot of luck. A couple of questions. First, on the gas stations, can you give us your first impressions, I guess, on what's the pace of new, I guess, acquisitions or incremental gas stations that you can add to the business after -- it's been just a couple of months, but after the earlier announcement that you did? Do you have a view now that you can accelerate beyond the 50 units per year that you initially shared? And obviously, especially given your background, Daniel, can you give us a little bit of your big-picture thoughts on whether you would like, obviously, down the road, to look for vertical integration within the gas station business model or just remain as a retailer for the very long term? Any thoughts that you can share on that would be super helpful. And then, secondly, just on the drugstore business, can you remind me how many do you have to date? And any update that you can share with respect to the profitability of the drugstore business, that would be super helpful.
Daniel Alberto Rodríguez Cofré: Okay. Well, thank you, Antonio. And I mean, regarding the gas station business, I mean, just to put things in perspective, as you know, we are just under the process of the energy reform, which is a process that will take a couple of years. So it's something that will go step by step. And if we analyze the market in Mexico, there are more than 10,000 gas stations in the country, and we are, at this stage, the largest operator with over 200 gas stations. So that means that there is a lot of potential in terms of growth. Now having said that, obviously, we are conscious that it's a process that we still need to learn. I mean, we -- for the time being, our expansion plans, as we have said, is to grow approximately 20% this year. That is, I mean, in the range of 40 to 50 units, acquiring these from small operators. And -- however, there is always the possibility that we could reach agreements with larger operators representing thousands of stations, in which case, there would be some upside risk to our growth expectation. But for the time being, it's something that we are analyzing in a lot of detail. We are learning from that business. And as you also know, there are different ways that you can run the business. I mean, you can go from the most asset-light model where you lease the asset and you have an arm-length agreement with the party that owns the Pemex franchise to the model that you can own all the assets. So clearly, we're focused, and that is something that is very strong, embedded in FEMSA culture. The focus is that we continue to create value. Okay? So all in all, as I said, we believe that we are going to growth 20%. We will look for any opportunities that appear in the short term, and that's where we stand on this business. But a lot of potential. Regarding your second question, how many pharmacies do we have? Well, the profitability is in the neighborhood of 5%. We, today, we have roughly 600 drugstores. Again, this is a business, as you know, we just acquired a little bit over 1 year. We are learning a lot. I mean, we are very happy with the assets that we acquired, I mean, are very healthy format. And I mean, at the moment that we start to learn more and we feel comfortable, obviously, we will roll out the growth in a more aggressive way, but for the time being, we're growing step by step.
Juan Fonseca: Antonio, this is Juan. I'll just add one thing to what Daniel elaborated on. In terms of the pace of growth, and the reason I'm bringing this up is because I've already had a few conversations. The market, as you all are aware, there are OXXOs in more than 2,000 gas stations in Mexico. In the vast majority of those cases, somebody else operates the gas station, 90% of those cases. But the trend that I'm sensing is that people are saying, well, if you already have a relationship with 2,500 or 3,000 gas stations, it's probably not that complicated to eventually make those gas stations be OXXO gas stations. And so some pretty large numbers are beginning to circulate. And I just want to put a word of caution out there, because to the nearest point that we're going step by step, we're really just starting on this business. We have a couple of hundred. So it scares me a little bit when people start saying that FEMSA can have 30% of the gas stations in Mexico in a few years. I think we -- the potential is very significant. Somebody was making the point to me earlier today that the fact that we're breaking out information in the press release obviously is consistent with the fact that we think this is something that's going to grow to be something that could move the needle, but I would just caution everybody on the call today to just take it step by step. And we model this thing forward to be conservative rather than super aggressive at this point.
Operator: Your next question comes from the line of Lauren Torres with UBS.
Lauren Torres - UBS Investment Bank, Research Division: Yes. Welcome, Daniel. I guess, having you on the line and kind of introducing us to your strategy for the Comercio business, I know you just talked a bit about gas stations and pharmacies, but I'd be curious to get your overview on how you're thinking about deploying cash and prioritizing, I guess, whether it be the format or the regions where you plan to spend the most time. I guess us analysts and investors are interested in kind of the list of priorities and ranking those priorities. And also, two, if the interest is more out of Mexico than in Mexico. So just overview type of question, strategy question on deployment of cash and how you're going to think about it by a format and region basis.
Daniel Alberto Rodríguez Cofré: Well, I mean, I think we have already stated in the past that we're focused and really going to look for value-creating acquisitions. But I would say that we are very open. I mean, as I mentioned at the beginning, I think one of the main strengths that this company has, FEMSA, is the balance sheet flexibility. I mean, we already have a very clear plan in order to continue growing organically. I would say, mainly in FEMSA Comercio, I mean, we expect to open, I mean, a little bit over 1,100 stores this year, and we believe that is something that we will be able to deliver. And obviously, as I said, there are 2 other businesses that we are starting to learn more and more, which is the gas stations and also the drugstore. I think both of these business, as Juan already mentioned, have a lot of potential. And in that sense, I mean, in the moment that we feel more comfortable, we have the full flexibility to allocate the resources in those business. I think those are like the 3 areas where, at this stage, we believe we have potential of growth and where we are thinking to deploy the CapEx. But having said that, if there are some acquisitions, for example, that prove to be elusive, then we would be ready to analyze and explore potential mechanics that increase even more the amount of cash that we already return to investors. Obviously, I mean, we are looking for different alternatives, and for the time being, as I said, our focus will be, in the case of FEMSA Comercio, in OXXO, it will be in the gas station and in the pharmacy business.
Lauren Torres - UBS Investment Bank, Research Division: And to the point on that regional exposure, is there increasing interest to look out of Mexico? Or this is more focused on the local market?
Daniel Alberto Rodríguez Cofré: For the time being, in the local market. I mean, obviously, our responsibility is to look for revenue opportunities that appear. But we don't have any specific plan that we can share at this stage. But, I mean, we are a player with presence in Mexico and in South America, and if anything relevant appear in those markets, we will look at it. And obviously, if that opportunity allow us to create value, well, we will consider it very seriously.
Juan Fonseca: And I think on -- and adding to that, I mean, obviously, when -- being kind of our backyard and having the macro prospects that Mexico has right now in terms of the reform packages and just the expectations of -- on growth going forward, we think it would be -- this is the time to not lose focus on Mexico. Obviously, we are, as Daniel said, looking at opportunity sales for -- you -- we have talked in the past about looking at assets in Brazil and in Peru and in other places. But Mexico is very much a priority, and as you can tell, I mean, everything that has to do with gas stations and drugstores currently is focused on Mexico. And I think it's consistent with our view of the market, medium to long term.
Operator: Your next question comes from Andrea Teixeira from JPMorgan.
Andrea F. Teixeira - JP Morgan Chase & Co, Research Division: Welcome, Daniel, good to see you in another company. So best of luck there. And just to follow up on more, I guess, we explored the M&A side and the more we want to get visibility, I guess, there's only as much you can say. But I would say, on the FEMSA -- on the OXXO side, do you -- I mean, obviously, you did comment on improvement there, and obviously, I appreciate, when you extrapolate the effect of the gas station, that you had an 80-basis-point improvement. So I was wondering if you can comment upon -- on the -- on potentially getting that effect even higher as we go into the quarters. We saw, for the first time in a long time, traffic improving, I guess, from what I can see here, slightly in the first quarter, and so there was a healthy improvement there. Do you see the same trends into the second quarter? And also, do you see additional improvements there in the mix, which is something that, obviously, you have been doing for quite a while. And if you can help us, like reconcile. And also, the -- and also, if you're seeing potential in acceleration of store openings into the other formats, or potentially from some of the other things like the Super OXXO, some of the other projects that were otherwise set aside because the economy wasn't that great, and now it could be back on your radar to explore, if we don't see -- if you don't see more of a growth. And I appreciate, Juan, when you say not to expect like a huge increase because it's hard to consolidate this segment on a "mom-and-pop to mom-and-pop" basis, especially on the gas station. So if we can -- I'm sorry for the long-winded question, but if you can kind of like help us kind of put in an order of priority of M&A, and then talk briefly about the most recent trends for OXXO as we see it.
Daniel Alberto Rodríguez Cofré: Okay. Well, thanks Andrea, and let me start with your second question, which is on the OXXO's same-store sales strength. Well, I mean, obviously, we're very encouraged by the slight pickup in same-store sales, but it's -- we believe it's too early to call it an inflection point. I mean, obviously, if these trends continue, we can be more confident to reach the mid-single digits for the year. And obviously, that is our expiration -- aspiration, sorry, for the medium term, is to deliver, I mean, to sustain a moderate operating margin expansion. And -- but as I said, we are in the early stage of several big initiatives that either have lower profitability today, such as drugstores and gasoline stations, or require, I mean, meaningful investment such as prepared food. So as I said, I mean, we are happy, but still, I think we need to wait a little bit to make sure that, really, this is an inflection point. Regarding M&A, I mean, I will come back to my previous comment. I think, clearly, we see opportunities, I mean, at least at this stage in Mexico for the OXXO gas station and also for the pharmacies. They are 2 business that, obviously, we can leverage from the current FEMCO structure in Mexico that will allow us to use, I mean, all the talent that we have in the organization to grow in the other 2 businesses. But I mean, the organization is very responsible and we want to make sure that if we start to roll out and have a more aggressive growth, I mean, from an M&A point of view, obviously, we need to feel comfortable that we understand well the business, that we understand all the key drivers in terms of value creation. And once we have that in place, we will definitely go for a more aggressive approach. But I mean, for the time being, as I said, we will build this step by step. And at the regions, again, I mean, we will look for any opportunity that appears and always keeping in mind that our main focus is to create value for the FEMSA shareholders.
Andrea F. Teixeira - JP Morgan Chase & Co, Research Division: And on that, I mean, on the lockup today, we have the lockup of the shares expiring. And is there any, I guess, any intention that Heineken would, perhaps, buy back those shares directly from you? Or obviously, they will have to open a buyback for all, but you're not -- it seems that you're not in any rush to do that or -- but is -- from that vantage point of sitting on the board of Heineken, if you're seeing a lot of body language of like having more of a buyback mode that would help you unlock the value.
Daniel Alberto Rodríguez Cofré: Yes. Well, I mean, as I said, Andrea, maybe obviously, the fact that the expiration of the lockup will increase our level of flexibility. I mean, and that is something that is always good. I mean, to have that flexibility is something that can help, I mean, in case we need it. But for the time being, as I said, we are very happy with the investment. Additionally, we should keep in mind that if there is an opportunity, I mean, in terms of deployed capital, FEMSA still a very -- has a very strong balance sheet. We don't foresee any need to sell those shares. Having said that, obviously, we always, I mean, have the responsibility to look for alternatives and benchmark those alternatives with Heineken shares. But in the short term, we will keep our stake in Heineken.
Operator: Your next question comes from Bob Ford with Merrill Lynch.
Robert E. Ford Aguilar - BofA Merrill Lynch, Research Division: Daniel, I had a question with respect to the gasoline business. Can you talk a little bit about the cost structure? When you look at the gross margin, you clearly saw something else besides gas. So I'm curious what percent of sales in the gasoline business are non-gas. And when you look at the fixed cost portion, right, you're in a growth mode. And I was curious in terms of how big that overhead or that fixed cost infrastructure is and what you expect that to develop into as the business scales. And as you mentioned earlier, you bought 5 gas stations in the last month, and I'm curious as to whether those -- any of those are organic. Because apparently, you've got some organic growth plans as well. And I was wondering what the valuations are like for gas stations and what the disposition is among sellers, please.
Daniel Alberto Rodríguez Cofré: Okay. Well, I mean, if we analyze, first of all, the business model, I mean, in terms of capital deployment, there are different alternatives that you can use, okay? You can go from a very asset-light approach to a very intensive asset approach, okay? So -- but it means that if, for example, and this is -- are many of the gas stations that we operate today, the assets, it's really -- it's not owned by us. So we have, I mean, we lease the assets to the former owner, and then we have an arm's length agreement with the party that owns the franchise with Pemex, okay? So in that case, I mean, we are -- it's a very, in some way, a very profitable business in terms of capital return. So that is one way that you can run the business up to, I mean, a model that you can own all the assets, and obviously, that will mean that you -- we have to deploy much more capital in the OXXO Gas business. I mean, at this stage, we are much more inclined to the asset-light model, and that's the ones that we are pursuing currently. So in that sense, even though that we have, I mean, low margin, obviously, we have high returns because we are not deploying a significant amount of capital, okay? So that, in some way, at a very high level. I mean, in terms of the cost structure, obviously, if you analyze, for example, the gross profit, we are talking about roughly in the range of 8% of gross profit margin over revenue. And in terms of the EBITDA, we're talking about the range of 2% to 2.5%. So those are the numbers that we are managing today. I mean, based on my experience, the EBITDA margin is very much in line with what you can see with other players in South America, maybe with a bit different, but in our case, as I said, it's a very asset-light model.
Robert E. Ford Aguilar - BofA Merrill Lynch, Research Division: And I guess where I'm coming from is -- I mean, just trying to understand a little bit different, because, for example, by law, Pemex only gives everybody 6.5% gross margin. So in order for you to get the 8%, you've got to be doing something else, right? And that's why I'm asking what percentage of sales are non-gas, because it appears as if there's a portion there that's not gas. And then, when I compare you to other operators, in many cases they've put in there the convenience store business. This does not appear to have a C store business in there, right? This is pure gasoline, which...
Daniel Alberto Rodríguez Cofré: Yes, no. That's pure gas. Bob, this is Juan.
Robert E. Ford Aguilar - BofA Merrill Lynch, Research Division: Which -- do you think we should see -- Hey, Juan.
Juan Fonseca: No, I just want you to kind of keep one thing in mind. I mean, this is just one month, and I would -- before we kind of get in, explore more deeply the cost structure, I think we would need a few more months under our belt in terms of the way that we're disclosing this. And also, I mean, you raise a very valid point, which is currently Pemex -- everybody buys from Pemex. The prices at which you buy are regulated. The prices at which you sell are regulated. And so the benefits of scale are actually not that great, right? I mean, if you have one gas station or you have 1,000, you're still going to be paying, basically, the same prices. So I think that part of what makes this so attractive is the potential that it would scale up, which is something that OXXO does very well. And especially when things open up in a couple of years and you can buy from the market and sell at whatever the market allows you to sell, then you really have an opportunity to improve your margins and your returns. So I would say, give us a little bit of slack in terms of let's have a few more months under our belt, and we'll see. With -- based on those numbers, we'll try to get you more detail, and everybody on the call, obviously, a little bit more detail on the cost structure.
Robert E. Ford Aguilar - BofA Merrill Lynch, Research Division: And one follow-up, if I may, and that's just logistics. It looks as if it's down big in the quarter and I was just curious what that was, if there was a big one-off.
Juan Fonseca: In what part, Bob, sorry?
Robert E. Ford Aguilar - BofA Merrill Lynch, Research Division: Logistics.
Juan Fonseca: Oh, the others? So the kind of the...
Robert E. Ford Aguilar - BofA Merrill Lynch, Research Division: Yes. Others seems to have declined pretty dramatically, and I was just wondering what that was. I'd assume it's logistics.
Daniel Alberto Rodríguez Cofré: No. I mean, we're going to have to -- yes, well, there's -- yes, logistics is a big part of it, there's also the refrigeration and other things that go on in terms of the inter-companies, but let's not look into that, and I'll follow up Bob, because it hadn't really raised a flag here.
Operator: Your next question comes from the line of Luca Cipiccia with Goldman Sachs.
Luca Cipiccia - Goldman Sachs Group Inc., Research Division: Juan, Daniel. I wanted to ask a couple of follow-ups. One is on the pricing, broadly, for OXXO and more specifically maybe for private labels. We seem to have seen a bit of a shift from the messages, but particularly from the soft drinks operators, that year-to-date the field environment for pricing, or at least the strategy for pricing seems to be more receptive, and there seemed to be a bit of a switch. I don't know if it's the confidence on elasticity after the small volume decline, after the tax reform or just the general environment seems to be more supportive. But I wanted to ask how that plays out for OXXO. And maybe expand on that for an update on the private label business in terms of ranges, maybe in terms of the know-how that you can bring, given the past experience or the potential that you see there. That would be quite helpful. And then, secondly, very quickly on capital allocation, I want to ask about Heineken, but I was going to ask about any update on the interest in -- expand the stake or increase the stake in Coke FEMSA, which have been discussed in the past. And maybe if you can share your thoughts, or refreshed thoughts, on this point as well. That would be helpful and complete a bit the topic on capital allocation.
Juan Fonseca: Luca, this is Juan. Let me take a crack at the pricing question first, and then, I'll let Daniel take the rest of it. I think, in terms of pricing, you're right. We would agree with comments that you referenced. But generally, the environment for pricing seems to be healthier. As Daniel said in the beginning, we did have very few categories that actually didn't grow during the quarter, and basically, you're talking about telephony, which we know that it's been in decline for structural reasons. And then, you have the cold beverages categories which contracted, basically, because of the very, very wet weather. Everything else actually grew nicely, and most of the growth, as we said, has to do with pricing and driving the ticket. The private labels, as you know, represent a very tiny part of our mix. Obviously, our strategy with pricing is to always offer -- yes, it's really a single-digit number. Our strategy here usually is carrying 1 or 2 of the leading brands, but also a private label alternative so that we capture the full socioeconomic spectrum. But consumers in Mexico continue to be pretty brand loyal. And because the things that we sell, our average ticket continues to be, obviously, less than a couple of dollars, so people can splurge and give themselves a little luxury of buying their favorite brand. And so private labels have remained small. Obviously, having a private label alternative is also very useful when you're having conversations with suppliers and such. So we're very happy to have them, but we haven't really seen a change in trend where people move more towards private label. Surely, nothing that stuck or nothing that became structural. Maybe in the depths of the -- early last year when people were just getting used to the new taxes, they might have resorted to some more private label for certain categories, but that didn't last very long, and I don't think it was widespread. In terms of the cost takeout, I'm going to let Daniel take that one.
Daniel Alberto Rodríguez Cofré: Yes. Well, I mean, regarding OXXO, I think, really, not more to add. I mean, I fully agree with the comment of Juan regarding the private label situation at OXXO. I mean, regarding your question on our stake or the willingness to increase our stake in Coke. Well, clearly, we know that the valuation are off their high, but really, we would not speculate about what valuations level we would like in order to increase our stake. So I mean, that's where we stand at this stage.
Operator: We'll take our next question from Jeronimo De Guzman with Morgan Stanley.
Jeronimo De Guzman - Morgan Stanley, Research Division: Juan, Daniel, I had a question on the -- again, back to same-store trends for OXXO. As you mentioned, most of the improvement was still driven by ticket. And I just wanted to see kind of what's your outlook for traffic going forward. Do you think that you can see more of a pickup? And are there any initiatives or anything that can help drive that traffic improvement going forward?
Juan Fonseca: Thank you very much. It's Juan. I mean, as you know, we've been talking for the last couple of years. The main -- by a wide margin, the main culprit in the traffic dynamics that we've seen in the last couple of years was the telephony category, right? And we've talked a little bit about how much the price per minute has come down in that period of time, more than 50%. And obviously, the deregulation of the wireless telcos and the increasing competition continues to go on. I mean, if you read or follow the industry, you know that deregulation is alive and well. So we're still seeing a decline. The -- our customers' pesos go a lot farther in terms of buying prepaid minutes, which means they don't have to come to the store nearly as often as they used to. But the other part of that discussion has had to do with the other services categories and, in particular, the financial services. And we've been talking about payments and deposits to checking accounts. We've been paying [ph] about the Saldazo debit card as another driver, which continues to grow incredibly well. We are opening more than 150,000 accounts per month. So I think, increasingly, the 2 lines are about to cross. I think the services category, the financial services are about to get to the point where they fully offset the impact from telephony. So I do think that for the remainder of the year -- I mean who knows what happens from one quarter to the other, but -- you have weather, you have some one-offs. But generally, I think, during this year, I would expect traffic to cease to be a drag and become neutral, and then, perhaps, towards the second half of the year, actually begin to add to the overall dynamic.
Jeronimo De Guzman - Morgan Stanley, Research Division: Interesting. And then, I wanted to follow up also on the other categories. I was a little surprised you didn't mention food or fast food. So just wanted to ask kind of where you stand on fast food, both in terms of how much have you rolled out into the OXXO stores and what has been your experience so far there? But then, also, what is your expectation in terms of rolling out more of a kind of stand-alone Doña Tota type of store units going forward?
Daniel Alberto Rodríguez Cofré: Okay. Well, today, we have 300, I mean, stores in OXXO with food. I mean, so far, it has proven to be a good category and, obviously, something that, again, that -- other projects we are analyzing in order to roll out. It doubled, really, this year. So I mean, it's something that has proven to be successful. And we will continue to assess and, I mean, obviously, if that continues, we'll increase that number significantly. So as I said, at this stage, 300 stores with food, and we call that brand O 'Sabor, which is the one that we have deployed in the stores at OXXO.
Jeronimo De Guzman - Morgan Stanley, Research Division: And the stand-alone stores, the Doña Tota, any plans to start growing that network as well?
Daniel Alberto Rodríguez Cofré: Well, I mean, really, we expect to begin to grow in that business at a pace of 15% to 20%. We will, in the case of Tota, open, I mean, a handful of stores as we begin to grow that business. So yes, I mean, we are growing. Again, as you say, I didn't mention before, but this is also a business that we are learning, and we more the learn, the more that we can really understand how to create value with that format. We will continue to do the rollout. And definitely, we are growing that business as well.
Juan Fonseca: And if you remember, Jeronimo, last year was really a year of stabilizing Tota, of bringing processes into the operation, kind of bringing the best practices and kind of the OXXO way of doing things, and we didn't really open a single store last year. This year, as Daniel is saying, we are going to start growing. We are already -- we have already opened a couple of stores, as is my understanding. To be honest, I think, we don't talk about Tota as much as we talk about drugstores, and now we're going to be talking also more about gas stations, because, I think, the orders of magnitude are different, I think the potential for number of units eventually. I mean, with drugstores, if you think about it, we already have more than 600. We're going to grow that business 20% organic, plus we're in the process of closing Farmacon, which will bring more than 200. It's likely that by the end of this year, we're going to be close to 1,000. I mean, certainly, north of 900 drugstores. And the runways that is in front of that business, I think, is broader and longer and, perhaps, easier to pursue than what we see with Tota. I mean, Tota is kind of a special product, a good brand, and we will grow it aggressively. But I think in terms of orders of magnitude, you're talking about different animals. Now having said that, and to Daniel's point, I think O 'Sabor does have the potential to move the needle because, basically, you can -- potentially, you could have an O 'Sabor module in 1/3 of the OXXO stores. So you're talking 4,000, 5,000 stores. So whatever you do with O 'Sabor, if you do it well, you can multiply it by a large number of units. As Daniel said, right now, we have a few hundred installed. We're going to double that this year. So that should send a message that we feel strongly about how the tacos and the Mexican hot food, warm food project is going. But those results are going to manifest themselves through the OXXO numbers, through the OXXO same-store sales, and we'll comment on that as we see it become more relevant. But it's a little bit less sexy, I suppose, than the drugstores and the gas stations at this point.
Operator: We'll take our next question from Alex Robarts with Citi.
Alexander Robarts - Citigroup Inc, Research Division: Welcome, Daniel. Looking forward to speaking with you on this call. I was hoping just to get back to the nuts and bolts of the quarter. And frankly, the selling expenses at FEMSA Comercio was where I was hoping we could drill into a little bit. I mean, when we look at the efficiencies, or at least the fact that you really pared those down as a percentage of sales, they came down. You cite the electricity tariff as being one of the factors. Can you talk to us about what is -- kind of helped those selling expenses grow at a slower pace than your sales? And I guess, when I look back at the February call with fourth -- with the fourth quarter results, I mean, you had kind of given us the impression, at least as I understood it, that there'd be some integration expenses with the new businesses, the hirings of new people, you've opened Tota stores, which you didn't really open last year and kind of we'll see 300 pharma stores being opened, that somehow these new businesses would be generating some more expenses. And I'm wondering, like were those perhaps -- are we seeing any of these, in this line here, in the Comercio selling expenses or admin? Or will they be forthcoming? So if you could talk to those 2 or 3 points around the selling expense line and kind of expectations for the rest of the year, that would be great.
Daniel Alberto Rodríguez Cofré: Okay. Well, thank you for your question. I mean, I think, as you correctly stated, I mean, if we analyze this business and we do a little bit of deep dive of the OpEx, I mean, at the store level, many of the key expenses [indiscernible], I mean, if we talk about labor, brand and electricity. So in that sense, obviously, there was a big focus during the quarter on reducing those costs, but it was also, I mean, well held by the reduction in electricity tariffs in Mexico, okay? So I mean, a good trend or reduction that we have seen in this quarter, I mean, based on the fact that, as you correctly mentioned, we are also growing in our formats. It's something that we need to keep an eye on because, obviously, as we are investing in our performance, most probably we will see, I mean, a deployment of expenses at the beginning, and then getting the margins back later on. So I wouldn't be comfortable to say that this reduction is something that is going to be here to stay. Obviously, as I said, that was a -- has been a high focus from FEMCO organization in order to reduce cost, I mean, knowing that the environment is a little bit more tough, I mean, this year. But as I said, I think, we need to see how things evolve in the next quarters to come, and then, we will be in a better position to really comment if this is really a trend or is something that was, I mean, just a one-off of the first quarter of this year.
Juan Fonseca: I think I'd like to complement Daniel's comment. I mean, as you know, the -- normally, the P&L of OXXO behaves in a way such that the growth expands 50 or 60 or 80, like it did or it would've done this quarter. That's -- I think that's a little bit high, even for OXXO standards. And then, selling expenses grow ahead of revenues, right? And we give back some of that expansion, and we end up with 10 or 20 bps at the operating level. As Daniel was saying, I mean, this quarter, there was some operating leverage because revenues are accelerating and the external factor of electricity tariffs, which probably helps OXXO more than it helps most because of all the refrigeration that takes place at the store. So I would -- echoing Daniel's words of caution. I would not assume that this is a new structure for margins. I would still expect margins to be stable. To his comments, as we add more gas stations, as we add full quarters of gas stations, obviously, that's going to put pressure on the consolidated OXXO margin. So we'll take it for as long as we have it, but I don't think this is a new normal.
Alexander Robarts - Citigroup Inc, Research Division: It's not a new normal, that's right. I mean, that's interesting because the 25.6% of revenues that's represented by Comercio selling expenses, as I look back, I mean, we haven't seen this level since 4Q 2010. So this is significant -- and I mean, one of the things is I know the commercial income has been coming in, and it was an issue, one quarter last year, I think it was the fourth quarter last year -- I mean, the first quarter last year, but are we seeing the Pepsi commercial income in this line? That had -- has started, in fact, this year. Could that be a factor or perhaps not?
Juan Fonseca: I mean, look, the Pepsi agreement started in November. So yes, it's in there. But it's not what's driving the numbers, right? Let's put it in perspective. And we have a number of things that are going on with a lot of suppliers. And I think, as we mentioned, the dynamic in terms of commercial income is healthy. So OXXO continues to get bigger and bigger. Conversations continue to move in our direction. But no, we can't give all the credit to Pepsi because that would, a, be wrong; and b, get us into a lot of trouble. So that's not the case.
Alexander Robarts - Citigroup Inc, Research Division: Here's the last part, sorry. I'm -- just to understand. So it's safe for us, then, to assume that we haven't quite seen the bulk of these incremental pre-operating expenses that we should expect as you build out and grow the pharma 20%, the hirings, and then, of course, to a lesser extent, the Tota. I mean, is that a fair assumption thinking about the next 3 quarters of the year?
Juan Fonseca: No. I mean, as you remember, we did hire some people. We did talk a few months ago about strengthening the team and increasing the overhead a little bit for the new businesses. I think what you're seeing is that the favorable effects were actually strong enough to offset, right? Because clearly, the incremental expenses are there. It's just that we had more reductions than we had increases.
Operator: Your next question comes from José Yordán with Deutsche Bank.
José J. Yordán - Deutsche Bank AG, Research Division: Juan, and Daniel, and welcome. I just had a question about Colombia. Obviously, the trial of OXXO in Colombia has just taken a long time, it has been frustrating, et cetera. But with your new entry into gas stations in Mexico, do you think that the asset -- the -- I'm sorry, the gas station asset that is going to be for sale in Colombia presents an opportunity to improve on the business model you have in Colombia now? Or I mean, I guess what I'm asking is, is this an attractive asset for you to look at? Would it make your go-or-no-go decision in Colombia for OXXO maybe easier or not?
Daniel Alberto Rodríguez Cofré: Well, I mean, as you correctly say, we have been in a couple of years, trying to be successful with OXXO stores in Colombia. I mean, for me, the good news is that we -- really now we're making a number of tests that, really, are proving to be successful. And I think one of the key learnings from [indiscernible] our operation in Colombia is that, obviously, it's very important to understand environments that you are in. You need to really understand what are the consumers' behavior in order that you can make appropriate offer to the customer. So in that sense, I'm personally very optimistic about the OXXO in Colombia. And if things work well, I mean, which I think would be the case, we will start to see, I mean, some growth in that business in Colombia. I mean, regarding the gas station, I mean, for me, we really have, I mean, big opportunities here in Mexico. I think that is where we have to focus at this stage. And I don't think that is -- I mean, the gas stations that are for sale in Colombia, I mean, they don't have a critical mass. I don't see very easy to create value with that asset. And I mean, in terms of priorities, I really would like to focus the team in Mexico, where we have aplenty of opportunity, where we have strength, we have, I mean, a very strong team. So for me, the answer is that our priority in that particular business is in Mexico rather than in Colombia. At least at this stage.
Operator: We'll take our next question from Jose De La Luz with Barclays.
Jose De La Luz Lopez - Barclays Capital, Research Division: I just wanted to know what is the current status of FEMSA in the U.S. If I understand correctly, you may have some retail operations there in Texas. So have a little bit of color if you have any intention there. And also, kind of a combined question to understand. I understand their regulation there does not allow a certain level of vertical integration for retailers to sell beer there, and that's kind of an issue when you want to sell beer in your own convenience stores there. Maybe you could give us some color if this is like local state law or something more federal or a little bit more of information there, if possible.
Juan Fonseca: Sure, Jose. this is Juan. Let me take this one. Yes, I mean, the rationale for this really goes back to the fact that we have more than 1,000 OXXO stores right on the border, on the south side of the border, and 0 on the North Side, and you can make the case that the consumer on both sides of the border is more or less the same demographic. And so the brand recognition and the attractiveness of that market to at least do some meaningful tests is very compelling. Now as you correctly point out, there is regulation in place, that has been in place for almost 100 years dating back to the days of Prohibition and Al Capone and those guys, where, basically, the government decided to separate in 3 tiers, production, distribution and retail of alcoholic beverages. And it's really legislated at the state level, but it's very similar to most states in the U.S. And so Texas being the most attractive from our standpoint, I mean, most of the Mexican border with the U.S. is Texas, certainly, the 2/3 on the eastern side of the country. But the 20% interest in Heineken, in the view of the state of Texas, currently qualifies us as having a significant influence over the production of alcohol, and therefore, they're happy to let us open stores, but those stores would not be able to sell alcohol. And that's a competitive disadvantage. As you know, the convenience store model in the U.S. and, in most cases, relies, in some capacity, on the alcoholic category. So we're having conversations with the state of Texas. It's something that's actually public record. We're trying to make the case that we don't exercise control over Heineken. And obviously, we are making the case that we would be willing and able and happy to make significant investments in Texas over time. So we're trying to convince them that this would be a good idea. It's hard to say which direction that's going to go. Right now, we are unable to sell alcohol. We do have one little store in the city of Eagle Pass, which was really opened as part of the conversations with the regulators and the government. It's not really a proper OXXO store, and obviously, it doesn't sell alcohol. So I don't expect anybody on this call to go to Eagle Pass to take a look. I certainly haven't. But at some point, at some point, I mean, it's a market that we are obviously -- it's a 2-hour drive from here. We believe that we could be very successful, but it's something that we need to get straightened out with the authorities first.
Jose De La Luz Lopez - Barclays Capital, Research Division: All right. And following on this border potential. If I'm not mistaken, I've seen some Doña Tota businesses in the U.S., and I'd like to know if -- more of a tactical question, if your experience from managing business stores in the U.S. has been very different from the experience in Mexico. More looking towards the future on what the potential of FEMSA and Comercio, on their life outside of the current footprint.
Juan Fonseca: Yes. I mean, I think the stores in the U.S. are run under a franchise model. They worked that way when we made the acquisition, and I believe it's the family that manages those stores, the Doña Tota family. She's actually a lady that founded the company, and her family kept those franchises in the U.S. So I don't -- I can't really comment from an operating standpoint in terms of how different those are from what we do here in Mexico. The greater -- I think, the greater question is, is the U.S. a market that is attractive for FEMSA for other businesses, generally? And I think the answer would need to be yes, but really having very, very little to do with the Doña Tota stores. They're currently -- or I guess, the OXXO -- the previous question is more relevant. And just generally, again, because of the proximity, because of the interrelation of the 2 economies, it's something that we would definitely like to explore further at some point.
Operator: We'll take our next question from Chelsea Konsko with TIAA-CREF. It looks like she may have disconnected. We'll take our next question from Carlos Laboy with HSBC.
Carlos Alberto Laboy - HSBC, Research Division: Juan, I know the second half part of my question is a little bit unusual, but on the gas stations, are you taking ownership of the real estate? And are there any leaking underground storage tank implications? Are there any contingent liabilities from ground remediation? How does the Mexican law work on that if you need to do work with some of those tanks?
Daniel Alberto Rodríguez Cofré: Well, thank you, Carlos, this is Daniel. I mean, first of all, as I mentioned before, at this stage, we are much more on an asset-light basis, so that means that we don't own the assets for many of the gas service stations. Having said that, I mean, based on my previous experience in this business in other countries, I can say that the standards in terms of safety in Mexico is very high, particularly on the subject that you mentioned. I mean, the tanks are best-in-class, and obviously, that is something that we assess every time that we acquire -- I mean, not only an asset, but every time that we sign a contract, that is part of our due diligence. So I mean, in that sense, we feel very comfortable with those gas stations that we are acquiring.
Operator: We'll take our question from Antonio Gonzalez with Crédit Suisse.
Antonio Gonzalez - Crédit Suisse AG, Research Division: Just a quick one. You've discussed a lot about capital allocation. I just wanted to know if you have any preliminary thoughts on whether -- between retail and more beverages. Of course, within retail, you've explored, obviously, throughout the call the drugstores and the gas stations and so forth. But do you have any preliminary thoughts on whether you'd like to allocate more capital to beverages or more capital to retail? And can you balance -- obviously, the available assets in beverages are much larger but they may take a while to materialize, whereas in retail, you have a lot of fragmentation and it can be a lot more painful to do something sizable, a. And b, if you don't have an active investment in either beverages or in retail, would you consider other passive alternatives down the road, i.e., swapping your Heineken shares for any other shares in either the beverages or retail sectors?
Daniel Alberto Rodríguez Cofré: Thanks, Antonio. Daniel here. I would say that, I mean, in terms of the beverage business, I mean, really, Coke is our main vehicle. So I mean, at this stage, any opportunity that may appear in the region is something that, as we said in -- with other businesses, we are going to assess. But I mean, the way that we're going to implement that, if such opportunity appears, will be through Coke. So that is what we see. I mean, in terms of capital allocation, I mean, we are exploring different alternatives, and obviously we have, I mean, balance sheet flexibility in order to pursue those opportunities. And again, as I said before, in terms of Heineken investments, we're happy with that investment. Having said that, the fact that now we have the flexibility, if something appears in the future that really, I mean, force us to use those funds, obviously, we will consider. But for the time being, and based on the opportunities that we are analyzing, we don't foresee, I mean, in the short term or in the medium term, the need to consider -- I mean, to divest from Heineken.
Operator: Ladies and gentlemen, that's all the time we have for questions today. If you wish to replay their webcast for this call, you may do so at FEMSA's Investor Relations website. This concludes our conference for today. Thank you for your participation and have a nice day. All parties may disconnect.